Operator: Good day. And welcome to IMAX Corporation’s Second Quarterly Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Heather Anthony, Vice President of Investor Relations. Please go ahead, Ms. Ma’am.
Heather Anthony: Good morning, everyone. Sorry for the delay this morning. Thanks for joining us today on our second quarter 2010 conference call. Joining me is our CEO, Rich Gelfond; and our CFO, Joe Sparacio. Also with us is our Senior EVP and General Counsel, Rob Lister. This morning just we’ve loaded a PowerPoint presentation in PDF format on to IR section of our website that attached to webcast link to help illustrate some points included in today’s discussion. Before we begin, let me remind you the following information regarding forward-looking statements. Our comments and answers to your questions on this call may include statements that are forward looking in that they pertain to future results and outcomes. Actually future results or occurrences may differ materially from these forward-looking statements. Please refer to our SEC filings for more detailed discussion of some of the factors that could affect our future results and outcomes. During today’s call references may be made to certain non-GAAP financial measures as defined by Regulation G of the Securities and Exchange Commission. Discussion of management’s use of these measures and the definitions of these are contained in this morning’s press release. Reconciliation to adjusted EPS and adjusted EBITDA are included in today’s press release. The full text of our second quarter release, along with supporting financial tables, is available on our website www.imax.com. Today’s conference call is being webcast in its entirety on our website. Today Rich will provide a brief overview of the second quarter and the trends we are seeing in our business, and Joe will review our Q2 financial results in detail. With that, let me now turn the call over to Rich Gelfond.
Rich Gelfond: Thanks, Heather. The second quarter of 2010 leveraged our strong first quarter box-office performance into another record quarter for fewer signings. We should propel significant network and EBITDA growth in 2010, ‘11 and beyond. Through the first half of 2010, we sign deals for three times as many systems as we did for the whole year and all of 2009, and through today have backlog, which should translate into commercial multiplex network of over 50% when installed. This coupled with our promising 2011 film slate, is providing us with an increase level of visibility into future business. As Heather mentioned, we’ve prepared some slides which you can find in the IR section of our website, which help to illustrate and quantify the value inherent in our year-to-date dealer signing activity. Before putting this into context, let me give you a brief overview of the quarter and then Joe will give you more detail. We experienced strong topline growth across all our key business segments, resulting in total revenue of $55.6 million for the quarter, up 38% compared to $40.4 million in last years period. We generated operating cash flow of $29 million, compared to cash breakeven in last year’s second quarter. Our trailing 12-month EBITDA increased by 172% to $92.8 million versus the $34 million in the comparable period last year. We retired another $15 million of bank debt in the quarter, putting us on a net debt versus debt positive basis of $12 million net cash. A net income for the was $13.3 million or $0.20 per share, compared to $2.6 million or $0.05 a share last year. Excluding variable compensation, net income increased 35% to $8.4 million, resulting an EPS of $0.13, item such as negative foreign exchange comparison versus last year and expenses associated with new business initiative and a significant level of new theater deal sign today, negatively impacted the second quarter by about $0.03 a share, which Joe will review in more detail. In the second quarter, we signed deals for 57 theater systems, compared to seven in last year’s second quarter. Through the first six months we have signed deals for 98 systems, that’s 10 times the level of systems signings as compared to the same period last year. And since quarter end we have signed deals for another 20 theater systems for a total of 118 systems signed year-to-date. Based on our signings to date and continued discussions we are having with exhibitors, our belief is that we are likely on pace to exceed our previous system signing record 144 systems in 2007, watch report of our December 2007 JV deal with AMC. What is particularly gratifying about all these signing this the diverse mix of deals we are seeing from all around the world. While many our new customers approximately 80% have been with repeat customers. We believe this demonstrates that once client in the IMAX business and see the impact IMAX can have on their complexes, they are often eager to reinvest in additional locations or upgrade to digital. We tend to see this in the Hollywood film business as well. Be it Chris Nolan, Tim Burton, David Heyman, once been in the IMAX business they tend enjoy the experience, understand the economics and come back for more. As a result of these signings, our backlog at quarter end totaled a 187 systems, which is up sequentially versus Q1 and year-over-year. In addition, this morning we increased our installation guidance for 2010, by roughly 20% and we now expect to end 2010 with approximately 362 commercial multiplex systems, up 26% compared to year-end 2009. We have also provided our current outlook for system installations in 2011 based on our current backlog as it stands today. Our signings are providing the catalyst for continued network expansion, which should ultimately read the continued EBITDA and recurring revenue growth, which brings me to slide five of the presentation online in the IR section of our website. I would just like to take a couple of minutes and walk in detail through what our 118 systems signings so far this year mean for IMAX. We thought it would be useful to break it down because we are not sure it’s viably understood, how we generate not only upfront revenue but recurring revenue from systems sales. Very simply every new sales type lease system we install, typically generates a little over a penny in one-time earnings. In addition, as a result of ongoing DMR and maintenance revenue associated with each IMAX theater open under a sales type lease, we estimate that we’ll receive annual recurring margin of approximately 160,000 per location, depending on where you peg per year gross box-office per screen and the location in the world. In this example, I’m using the $1.2 million that we generated in 2009. For every JV we install, we estimate that each one generates approximately $400,000 in recurring margin. Again, assuming $1.2 million of gross box-office. As far as, JV’s go for each IMAX theater open under JV agreement, we estimate that we receive approximately $400,000 in recurring margin, again, assuming the same $1.2 million of gross box-office. Page five of the slide, shows you how these estimates work in connection with our 96 new theater signings year-to-date, the 50 new theater – 58 new theaters under sales type leases and 38 under JV arrangements. The remaining 22 systems including in our 118 signings to-date are digital upgrades and those are transact that are basically breakeven margin for us. However, digital upgrade a very important to us, the studios and our customers, as they will be able to participate in an increase amount DMR titles, which means more gross box-office for them and increased DMR fees for us. Now to make an obvious point. We are in the movie business, some movies will outperform, some will disappoint, there is inherent seasonality and volatility in the business, theater don’t all open to the public on January 1st. However, if you look at the past couple of years, you can draw some conclusions, as to what we believe are reasonable estimates for gross box-office per screen performance. For example, $1.2 million was our per screen average in 2009, when we had a very weak first quarter. We are actually at $1.3 million on a per screen basis for just first half of 2010. However, if you stripped out Avatar completely and assume nothing in its place, our first half per screen average was $645,000, which on a straight run rate basis would get either $1.3 million this year approximately without any impact from Avatar or any replacement film from Avatar. So see there is a basic range based on portfolio theory where you can see our per screen up ending up. Now of course it could be more, it could be less, depending on the films slate that year, but for modeling purposes it gives you a general idea of where we’ve come out. One of the reasons for highlighting this today for providing some preliminary inside into 2011, is to try and help investors model our business and to understand both the importance of network expansion, and about the need to look at our slate as a portfolio and to understand the various ways in which we are able to create recurring EBITDA on a full year basis. I’m putting this is in sort of different terms, the growth of the network is much more important to us on a go forward basis then the performance of any single film. We have also recently made further inroads in key international markets, such as Japan and Russia. In Japan, a year ago we installed our first three JV theaters and time for transformers due in June. As I think many of you know those theaters have performed extremely well. We now have foreign operation and nine in backlog including theaters with Tokyo Cinemas and new JV partner United Cinemas for up to five theaters and one JV with our new partner Cinema Sunshine. We are also making significant inroads in Russia and the CIS, over the course of 2010 we’ve signed deals for 19 systems in Russia including our announcement for up to 14 theaters with Cinema Park this Tuesday. We expect 27 theaters to be in operation by the end of 2012 making it our third largest market in the world behind the U.S. and China. We also believe from both the level signings activity around the world and the elevated box-office coming from our international screens, that our previous outlook which call for a 1000 IMAX commercial theaters worldwide, 400 domestics and 600 international should be increase. And the principle reason for this is China, our second largest market behind the U.S. Our regional estimate of 600 international screens only contemplated 90 IMAX theaters in Greater China, while we’re still completing our analysis, just given the pace of overall theater complex growth, we believe we could have between 250 and 300 IMAX theaters in China, assuming the rollout of the 40,000 screens the government is targeting, which will bring our international opportunity closer to 800 theaters rather than 600 we originally target, and our worldwide targets about 1200 versus the 1000 we originally targeted. We believe China’s exhibition industry is poised for period of it explosive growth. Today they are approximately 4700 screens in China, and the stated goal of the Chinese government is to get to 20,000 screens in five years and 40,000 screens in 10 years. We’ve been participating in this expansion and certainly awareness demand for IMAX in China is very high post Avatar, Alice in Wonderland and (inaudible) this week, Aftershock, which, I’ll discuss in a few minutes. Given the increase potential and demand for IMAX in China, not only we’re seeing more and more exhibitors discussing multi-screen deals with us, like last week announcement with (inaudible) which is tripling their IMAX footprint on long time partner Wonder Cinemas the largest exhibitor in China which is schedule to operate 14 theaters, the many real estate developers are similarly requesting that IMAX be part of their complexes. Importantly we believe that overtime we’ll be able to generate increase recurring revenue from Greater China for a number of reasons. First, DMR fees for local content are more in line with what we receive in the states and certainly higher than what was experienced with Avatar, which was unusually low even for China. Second, given our level comfort working with current exhibition partners many of whom are absorbing this market growth in China and seeking ways to penetrate it. We are increasingly looking at our hybrid revenue share model as a way to generate a greater level of recurring revenue from that region. In addition, we’re very pleased with our results opening weekend for the first international DMR title Aftershock. The film was released on 11 IMAX screens in Mainland China and one in Hong Kong, and generated more than $640,000 at the box-office. Our per screen average of approximately $55,000 for the opening weekend was over nine times the per screen average in conventional theaters, we believe these early positive results bode well for us as we export as we export converting other local content in China and elsewhere. Turning to new business initiatives, during the quarter we finalized our agreement with Sony and Discovery to launch the 3D TV Channel in 2011. In addition, last week, we announced our Memorandum of Understanding with Laser Light Engines, which has contemplated and enable us to develop larger and brighter digital projectors as part of IMAX’s future. Regarding our event theater initiative, which we previously call the portable, we are currently testing our first structure and continue to expect to launch it in the back half of the year. And as Joe will talk about in a moment we continue to spend dollars on other new business initiatives, which we hope will bear fruit in the near future. Now turning to film, during the second quarter we achieve several important milestones. We announced our largest film deal in our history for up to 20 pictures with Warner Brothers. We extended our relationship with Disney with the three picture deal, Iron Man 2 was our first movie with Marvel and Toy Story 3 was our first Pixar Disney title. We also extended our notable string of number one movies. We can now say that each of the last 19 films we choose were in first place at the box-office on opening weekend. Looking at the third quarter, we’re very pleased with the initial results of our key title for the period. Christopher Nolan’s Inception, through Tuesday the film has generated approximately $21 million worldwide for per screen average of 84,000. Inception is the perfect example of a film that fits right in our suite spot and place to the heart of what we call our secrete souse. Film makers who love IMAX understand the format and take full advantage of it to differentiate the IMAX experienced. And on August 27th we will re-release Avatar on IMAX 3D experience, the release will feature nine minutes of new footage, which we believe will be draw for fans of the movie, as well as those movie goers who were unable to see it in theaters. In the fourth quarter our two key titles will be the highly anticipated first installment of Harry Potter and the Deathly Hallows from Warner Brothers, the fifth Harry Potter title to play in the IMAX network. And Disney’s TRON Legacy, directed by Joe Kosinski, another picture which will be differentiated for IMAX by taking advantage of aspect rate ratio in certain sequences resulting in full screen immersion. We believe both pictures will play nicely to our fan buoy audience. Looking to 2011, we continue to fill out film slate, we have eight titles lined-up so far for next year as compared to four at the same point last. Key titles in 2011 includes Disney’s TRON which will continue from December, Mars Needs Mom, Mom is produced by Robert Zemeckis, whose film have historically performed well in IMAX such as the Polar Express, Beowulf and Christmas Carol. Zack Snyder, Sucker Punch, Zack Snyder directed 300 and Watchmen both of which played well to IMAX fan buoy audiences. I should mention that both TRON and Sucker Punch were receiving a lot of buzz at Comic-Con, the convention in the last two weeks. Disney’s next installment is the Pirates of the Caribbean Series starring Johnny Depp and Penelope Cruz, Disney Pixar's Cars 2, which we're very excited about given our very strong showing in Toy Story 3. Our opening weekend per screen average of $47,000 for Toy Story 3 was the highest opening weekend per screen we’ve ever generated on a CGI animated picture and of course, the final installment of the Harry Potter series. We are in active discussions with literally every studio on a number of titles to fill out 2011 slate and beyond. And as I mentioned, we’ve never had so many titles announced for coming year as we do so far in 2011. To quickly wrap up, we believe we are poised to deliver significant growth in 2010 versus 2009 and appear on our way to establishing a very solid foundation for 2011. With that, I’ll turn the call over to Joe, who will review the financials.
Joe Sparacio: Thanks Rich. We delivered strong top line results in the second quarter, of course, virtually all of our business segments. Total revenue for the quarter increased 38% to 55.6 million compared to 40.4 million in last year’s second quarter. Gross box-office in the second quarter was a 114.6 million, up 36% versus last year. Our global box-office per screen averaging Q2 was 400 -- may be $700,000 compared to $410,000 for the same period last year. Our domestic box-office per screen average was essentially even with last year second quarter at approximately 400,000 whereas our international screens were up dramatically, 613,000 compared to 360,000 last year. The international screens primarily benefited from the release of Alice in Wonderland in many overseas markets and the incremental international early release of Prince of Persia. Looking at our key business segments, total revenue increased 20 -- total film revenue increased 28% to 20.7 million in the quarter compared to 16.1 million in the second quarter of 2009. DMR revenue increased 20% to 14.5 million and our percentage as a fraction of gross box-office was approximately 12.7% in the quarter. Revenue from IMAX systems sales increased 108% to 17.3 million in the second quarter 2010, compared to 8.3 million in the second quarter of 2009. During the quarter, we recognized revenue on six full new theater systems with an average value of 1.6 million compared to three in the second quarter of 2009, which had an average value of 1.4 million. We also installed 11 digital system upgrades in the quarter compared to two in the year ago period. As a result of our aggressive upgrade program especially of MPX film based systems, we ended the second quarter with 19 MPX film systems in operation, down from 44 MPX systems in the year ago period. Revenue from joint venture arrangements increased 18% to 8.5 million from 7.2 million in last year’s second quarter. During the quarter, we installed four JV systems consistent with our guidance on the Q1 call during which we referenced that our installed activity would be weighted towards the second half of the year. We ended the quarter with a 126 JVs in operation compared to 91 at the end of last year second quarter. Since quarter end, we’ve opened another four JV theaters and expect to open up a total of 15 to 20 in the third quarter. Joint venture theaters generated an average gross box-office per screen of approximately 382,000 for the quarter in line with our overall domestic PSA and up 12% when compared to 342,000 per screen last year. Second quarter 2010 gross margin dollars increased 31% to 27 million compared to 20.7 million in the second quarter of 2009. The primary drivers of the increase in gross margin for our JV and system sales segment which was partially offset by additional DMR costs, including costs associated with the exhibition of eight titles throughout the IMAX network in the second quarter this year as compared to showing four titles in last year’s period. On a reported basis, second quarter SG&A expenses were 11.1 million compared to 12.3 million on a same basis last year. Our reported SG&A for the second quarter reflects a $4.9 million benefit from variable stock compensation due to a $3.39 decrease in our closing price at quarter end as compared to the closing stock price at the beginning of the quarter. This compares with a 3.7 million charge in the comparable period last year. Approximately, every $1 dollar increase or decrease in our stock price results in an impact of approximately $1.5 million in our reported results based on the number of shares invested at quarter end. You will note that this impact declined from 2 million for every $1 movement in stock price as the number of stock appreciation rights has been reduced. As we’ve mentioned in the past, we’ve not granted any stock appreciation rights since 2007 nor do we currently intend to do so. And as of June 30, 2010, approximately $1.5 million invested variable stock shares were outstanding and we continue to expect that it will remain at approximately 1.5 million shares by the end of 2010. Excluding the impact of variable stock compensation from both periods, the year-over-year increase in SG&A reflects certain items discussed in our prior calls such as the relative strength of the Canadian dollar versus a year ago and investment in new business initiatives. Breaking it out further in the second quarter, we experienced the $3.4 million variance from foreign exchange resulting from a $900,000 loss at the end of the second quarter this year in comparison to a foreign exchange gain of 2.5 million last year, which you may recall. We anticipate the FX impact in the second half of the year should moderate; however, given the recent rise in the rates, we now project the year-over-year impact to be approximately $6 million. It could be a bit more depending upon where rates go. We also incurred $700,000 increase in professional fees, which includes work relating to new, strategic business initiatives such as our 3D TV JV with Sony and Discovery. We also incurred an increase of $600,000 in travel and related costs commensurate with the very high level of the other deals that we’re signing, which has significantly exceeded our expectations. For the first six months of the year, we reported net income of 39.9 million with $0.60 per diluted share compared to a net loss of 80,000 last year or breakeven for the same period last year. On an adjusted basis, net income for the first half of the year was $43.7 million or $0.66 per diluted share compared to 3.7 million or $0.08 per share last year. Our backlog at quarter end consisted of $187 systems, 117 was sales and sales type lease systems valued at 156.1 million and 70 were joint venture arrangements which carried no stated backlog value. I wanted to mention a backlog as of June 30, also includes four sales-type lease upgrades. Turning to the cash flow statement, we generated operating cash at $28.8 million in the second quarter compared to a cash breakeven position last year. For the six months, our operating cash flow was 40 million compared to 2 million in the same period last year. Our balance sheet remains in very good shape. We ended the quarter with cash and cash equivalents of 37 million compared to 20 million at the end of December. We also paid down approximately $15 million of bank debt during the second quarter and a total of $25.2 million in repayments to date. Looking ahead to Q3, gross box-office to date is $41.8 million compared to $29.8 million at the same point last year. In addition, we currently expect when installed between six and eight new sales, sales type lease systems excluding upgrades and as I mentioned 15 to 20 joint venture theaters, four of which have already opened in the month of July. For Q4, we expect to install 12 to 15 new sales, sales type lease systems excluding upgrades and 16 to 20 joint venture systems. All of these installations for Q3 and Q4 are from our current backlog. As a reminder, installations can slip from period to period usually for reasons beyond our control. Our full year R&D expense guidance remains unchanged between 6 to $7 million for 2010. Looking at our preliminary assumption for 2011, based on our current backlog, we expect to install at least 30 to 35 sales and sales-type lease system excluding backlog at, at least 25 joint venture theaters next year. Again, this is based on our backlog as it stands today and does not include the potential impact of future sign and installs. I would also caution that installs can and due slip from period to period often based on circumstances outside our control. We believe the combination of a robust film slate increased size of our commercial fleet of theaters heading into 2011 and the continued network expansion in 2011 will result in EBITDA growth versus 2010. There is one method I would like to point out on the call related to the press release this morning. On page six, at the bottom of the income statement in the supplemental data, depreciation and amortization stated for the three and six month periods should be reversed and that will become pretty apparent when you look at the schedule. The numbers are fine. It’s just a column that therein should be reversed. With that, I’ll hand it over to Rich.
Rich Gelfond: Thanks Joe. In closing, we put together a solid second quarter that featured top -- strong top line growth, significant cash generation and key milestones across our organization, which we believe will translate into long-term growth for our company and our shareholders. We’re doing this on many different fronts, signing multipicture deals with CEOs on traditional terms to the biggest blockbusters, signing up new theaters that are record-paced, which are balanced between JVs and system sales, each of which has its own differing economy benefits, planting seeds in the area of new business development so we can continue to bring the IMAX brand to consumers in new ways, exploring local language DMR opportunities like aftershock which further strengths our brands in international markets, yields network growth and attractive DMR fees and investing in research and development to ensure that the IMAX experience continues to deliver all inspiring mindboggling experiences. With that, I’ll be happy to open it up to questions.
Operator: (Operator Instructions) Your first question comes from Richard Ingrassia of Roth Capital Partners. Please go ahead.
Richard Ingrassia – Roth Capital Partners: Thanks. Good morning, everybody.
Rich Gelfond: Good morning Rich.
Richard Ingrassia – Roth Capital Partners: Joe, just quickly on new business initiative and spending there for the quarter, can you get that number again and maybe give us some perspective on how much you expect see in SG&A on new initiatives in second half?
Rich Gelfond: Yeah, I’m going to answer it, Rich. It was 600,000. It wasn’t the number, Joe gave you. I mean, we have a number of things going on, including something that if they happen could be significant timex. So it’s very difficult to answer that question. Some of these initiatives, Rich, kind of, in the middle of going on and if they go on to their conclusion, it could be relatively significant number. Like 2 or $3 million. If they get nipped in the bud, it will be lower number than that. So I think -- if you see large number -- I think you will see a result coming out of that large number. If you don’t see a number, I think it will mean that these initiatives really didn’t progress. So I think it’s a little bit of a new ones to answer.
Richard Ingrassia – Roth Capital Partners: Okay. So I mean, the point -- I guess what I’m hearing is that we should allow for may be more rather than less of your stronger cash flows now to be applied towards these opportunities as you test them and may be go forward or so?
Rich Gelfond: Yeah. And the last thing, I want to do is promise or hype is something that doesn’t exist. But there are some various significant exciting things that we’re working on and this has been a very good year for us and that gives us the luxury to chase it down and hopefully put them together. You know, they’re not going to come together. We’ll spend less money but certainly, there is a scenario where we spend money on the opportunities and it doesn’t come together but that’s not the way we’re trying to manage it.
Richard Ingrassia – Roth Capital Partners: Got it. Okay. And Rich, give us -- I know, if you -- If you will, of the whole exhibition landscape now with realty be capitalized of course and 3D being ruled out in earnest over there for the next 18 months, then also the -- your cinema partners rolling out in some limited fashions and enhanced. Just may be, your experience is speaking to them and to the guys at the top of the food chain in Hollywood about where still IMAX sits in that environment?
Rich Gelfond: Rich, I’ll started typically glib on conclusion, which is the results somewhat speak for themselves. I mean, we never had a year as good in signing films for next year as we’ve have so far. As I sat on the call, we’re talking to every major city. I can’t disclose it for obvious reasons but yesterday Greg Foster had a film, got a call from a well-know star, saying you got to release my movie in August, I means it anecdotal but that’s kind of the tenure of our business and the calls are no longer outgoing from us, they are virtually all incoming and people are applying pressure to get our films on the exhibition side obviously, I think I repeat the 118 number now, but beyond the 118 number, including as the 20, we’ve signed this month. And the tenure of our business in the market place is such that, I would be really surprise that if it’s fell of a clip next month, I mean I think that’s the level of activity we’re seeing. So that’s kind of a numerical, empirical answer to your question. Sort of, the softer answer to your question as I think that the exhibition community seems, sees room for different choices out there. I think when they want a high-end premium experience that’s going to attract audiences to their multiplexes and give them some exclusivity vis-à-vis their competition, they’re going to go with IMAX and obviously that was even demonstrated by AMC which has their own branded entertainment product ETS, but still shows install another 25 IMAX theaters and I think you’re going to see that with some of the other change on that have branded products, still being in the IMAX business. I think, they are using their branded products really for two reasons. One put the theaters where they can put an IMAX or two to capture the overflow in auditorium or IMAX is. And then I think three RealD exist says more of a less premium experience, traditional 3D experience which commence the premium, but not as much a premium. You do not ask this part of the question, but I’ll answer because I think it’s important risk, which is a lot of people have been talking about 3D now doing close to the 50% of the box-office rather then 70% of the box-office which it did during Avatar. We’ve been completed prepared for that and we’ve had expected that. And the fact of the matters is when Avatar happened we were the first one to say every film is not going to be Avatar. If you look right now we’re playing Inception, which is you know, is doing quite nicely, the alternatives to Inception are to Speak of Me, Cat & Dogs, which opens this weekend, Airbender, I think banding on a world that’s both 2D and 3D is a bet that’s going to payoff very well for us in the long run. So I think the world has sort of a wow, some of this is prescience and some of it is lock consistent with the way we have seen it revolving and off course it’s not perfect, but I think we’re well positioned.
Richard Ingrassia – Roth Capital Partners: I guess, I am trying to get sort of, to address the brightness problem in standard size 3D non-mastered non-IMAX 3D and maybe just relay this partnership, you struck with this equity investment in LOE, because I know that technology and I suspect that -- I mean that’s a little bigger deal then most people read in the press release?
Rich Gelfond: One of the things that make IMAX really special is that it’s a lot brighter then other version of cinema experience. And that become really extra import in the 3D environment because the public wear sunglasses essential, they are not sun glasses but they have the same, they block our way. So one of the things that IMAX does and you can think of this in the context of Avatar or Alice in Wonderland, the film makers create this beautiful environment but the lack of brightness kind of, because of the glasses dims it out and that’s one of the distinguishing features of IMAX that extra brightness. And LOE (inaudible) light engine, it’s a company that has developed a technology that moves us from traditional light ball technology to using a lot laser to light the screen and it create a white a lot more brightness. And we plan on getting involve really in two ways. One, it will be developer a placement for our larger theaters like the one that universal city walk in Lincoln Square the BFI London and also to increase the general brightness of our system. So I’m excited about it. Rich frankly, one reason I didn’t go there, when you ask the question. Is I think although brightness is important, IMAX is about a lot more then brightness, it’s about the filmmakers so our secret source doing special things it’s about the sounds system, it’s about the theater geometry, it’s about our image and have some brightness is one important component, but the more research we do, we find out the public really doesn’t identify us with each peace they really identify us as IMAX and that’s what makes it special and I think, that’s what gives us me a lot of comfort going forward, virtually any study you look at, shows that the public want to see an IMAX referencing back to your question of course improving the experience and staying on the cutting edge is a really important thing, but I think when you cut and do it all, IMAX is IMAX and no one else is IMAX.
Richard Ingrassia – Roth Capital Partners: Thanks, Rich.
Operator:
James Marsh – Piper Jaffray: Hi, guys. Couple of quick questions here. First, one for you Rich, you’re committing that once exhibitors start using IMAX they come back for more, I just want to kind of expand on that, seems like lately once an exhibitors get’s involves in the market their competitor also one who become IMAX customers and it seems to be the case in Japan and it looks like Russia as well. I was hoping you could just talk a little bit more about the competitive environment which exhibitors once the IMAX enters the market and how that impacts your pace of business. And then I got a question for Joe.
Rich Gelfond: Yeah. I mean, it’s a good point James, I think, first to just answer in Japan, our first just and deal was with Tokyo which was our existing relationship, I think that four and they added five more. They had pretty much cover what they wanted to cover and I think there are competitors who saw the opportunity and saw the numbers and then they came in. So I think you’re absolutely right that the guys across the streets sees all the business going to his competitive theater and that’s an incentive for him to get into it. But you know, it’s the matter of doing business, not as a matter of contract. We will like to offer our existing customer, the first opportunity to expand their relationship and that’s one reason it’s been happening at a very rapid pace. But if you’re in the business, you see the business you see the numbers and you want to do more and if you’re not in the business you see the numbers and you want to get the numbers from your competitors. So it works both ways and you had a question for Joe.
James Marsh – Piper Jaffray: Yeah. The question for Joe was related to SG&A and this it seem like is that kind of ran through those number about 6 million before stars and that get out of million for our fax and whatever million for professional fees and some travel-related non-reccuring type stuff. You get to a run rate it looks like about 13.8 million and it just seem a little bit higher then we have before us. I just want to know is that kind of good run rate to go forward?
Joe Sparacio: Yeah. I mean, my sense where the C dollar is right now James, I think you’re in that range in the low 50ish range. And that wouldn’t account for any special projects that we may endeavored or pursue as Rich explained earlier.
James Marsh – Piper Jaffray: Okay.
Rich Gelfond: And again, just a C dollar for those of you who don’t follow it, significant amount of our expenses during Canadian dollar, because of our huge workforce in Canada. So therefore as the C dollar appreciates, it has a negative impact on us.
James Marsh – Piper Jaffray: Okay. I just had one last follow-up here, it relates to this I guess the timing of the screen installed. May be just help us understand why it was a bit more backend loaded in 2010 and as we look to 2011, does that slate that really ramps up in May end up resulting in some front end loading in 2011?
Rich Gelfond: Yes. I’ll answer the first part. Joe will answer second part. The first part James is that people tend to install for our movie, so the fact that Harry Potter is opening in November, means it’s a real push to get in stores open in time for Harry Potter. And if you recall the same thing happen pre-Avatar. So it’s almost less season and more movie dependant and you know Joe has our quarterly forecast, so why don’t you answer the question about ‘11 Joe.
Joe Sparacio: I think on the JV front James, at least at this point we’ll give more clarity as we move closer to the year. But I think on the JV front, even the first quarter is as good as anything right now. And as it relates to sales and sales type leases, I’m going to give you six months chunks on that and I would say we probably do half in the first half of the year and half in the second half of the year. And we’re going to continue to refine that as we move forward.
James Marsh – Piper Jaffray: Okay. Thanks very much. And excellent highlighting on the screen growth. I love this life.
Rich Gelfond: Thank you.
Operator: Thank you. Your next question comes from Marla Backer of Hudson Square. Please go ahead.
Marla Backer – Hudson Square: Thank you. I want to get a little bit more color on how are you’re thinking because I know you’re always looking at ways to make the screen more productive. I mean they are obviously very productive based on the number that you are reporting. We’re focused on the Hollywood titles, but there are clearly still are big shorter periods where it’s just not as easy to get the big title on a screen. So based on your conversation with studio, how much flexibility do you think you have in terms of try to get them of the smaller but still important title move to some of the shoulder period so that you can smooth out some of the lumpiness?
Rich Gelfond: Good question, Marla. I think the answer we’re seeing that happen on an increase over the past, so I rather not name the movies on this call. But for 2011 we saw some picture moved their dates in order to take advantage of the IMAX network and people are talking about moving the dates of other picture to do that. So that’s happening on an increase basis, obviously you know the availability of local VMR in local market like aftershock and we’ll see where else that goes, helps the shoulder period, because I give you an example like, obviously in the U.S. February is not the best time of the year, but in China that’s Chinese New Year. It’s a good time of the year. So we hope to be able to play with local content to be able to do that as well. And then I think the third thing would be because of digital you can have shorter runs. So if you look at our schedule you know this fall, because of the release schedule, this is not a major blockbluster coming out in September, October but there are lot of films going into two or three week period. So I think a combination of all of that.
Marla Backer – Hudson Square: Okay. That makes a lot of sense. I know you’re always focused on Hollywood DMR title, but historically the business has also been very much about edutainment and schools group have played a large part in the past of the IMAX standard, so you know the IMAX attendance. So is there any training you can do or discussion with some of your exhibitors partners to try to boost the usage on, the utilization on the screen and early day part to, it won’t really move the needle but on a margin that’s just all incremental.
Rich Gelfond: Yeah. I mean, two ways to answer that Marla, one is we’re doing some of that and Hubble for example is going to be released to many of the commercial screens in August. So you can get the camp groups and kids in the day time and some of the school group when it goes over in September. But I need the other point you made I just want to underline it doesn’t move the needle that much. So on the edges, you can play with it but it’s not big deal financially.
Marla Backer – Hudson Square: Okay. And then lastly, I think you’ve talked in the past that they’re doing some bundling, the content bundling in terms of trying to leverage the whole 3D consumer market and I think Warner’s just recently announced that they would be bundling some title with purchases of 3D TV’s and I think mostly title that had appeared IMAX theaters. Are there any opportunities for you to pursue similar kinds of agreements and do you know about the Warner deal? Will you get any kind of economics from it?
Rich Gelfond: On the Warner deal the answer is there’s a waterfall and we share on the revenues and if it exceeds the guarantees and thing yes we share the revenue and the second part is yes, we’re looking into bundling deal.
Marla Backer – Hudson Square: Thank you.
Operator: Thank you. Your next question comes from Martin Pyykkonen of Janco Partners. Please go ahead.
Martin Pyykkonen – Janco Partners: Yeah. Thanks. Great quarter and great outlook. Two first questions and then a couple of follow-ups. Joe, you mentioned I think on the new systems average going to be VSP of 1.6 million, I want to see is, they going to be usual because that’s up a little bit and it is that kind of a sustainable number.
Joe Sparacio: We had one installation that was a GT system installation this quarter and those generally have a much higher price tag.
Martin Pyykkonen – Janco Partners: So for modeling purposes more like 1.2, this is better rate?
Joe Sparacio: We continue to use the 1.3, 1.4.
Martin Pyykkonen – Janco Partners: Okay. And then given the guidance on JV’s, you’re basically talking about the Q3 and Q4 this year, by the end you would to put in 31 to 40 in that period. The AMC backlog about 25 and the new AMC deal 15 to 25 you signed a few months ago, so that’s 40 to 50. My question is at the end of this year, what percentage of all of that AMC is baked into your total JV guidance?
Joe Sparacio: By the end of this year, we’re targeting close to the 100 that was under the original deal and then the 15 to 25 would be part of next year and now in the guidance that I have given you only the 15 are included in that.
Martin Pyykkonen – Janco Partners: Okay. So with a 100 by the end of this year that basically takes care of a 25 had been a backlog for them.
Joe Sparacio: Yeah.
Martin Pyykkonen – Janco Partners: Now, on the DMR cost, you mentioned the eight films a higher there, but my question is there are DMR cost in terms of you’re acquiring the film in the quarter that kind of what turns out to be one to two million or is that kind of spread across different periods, in other which one you’re actually working on IMAX in the film versus the upfront fee?
Joe Sparacio: No, there’s no fees of any sort of like that it’s our normal DMR cost of rendering the film et cetera. When you have a period like this where you’re showing eight films. You’re going to have a heighten level of costs. You take a film like Prince of Persia, which was done so that we made sure the international pipeline was flushed with product. We benefited from that in our systems siding lines and our JV lines but it didn’t necessarily acquired to a big margin benefit to DMR. So that’s current some of the things that’s were going on as well.
Martin Pyykkonen – Janco Partners: And then help it on the hybrid revenue share model, you mentioned and you’d expand on anymore in terms of how that working as a likely hood and timing and so forth.
Joe Sparacio: Sure, the way that the hybrid model works is that the client puts out the cost to good sold, but we don’t recognize any margin on the sale and the way we get our return is to higher participation at the box-office, generally in the 10% to 12% rates something like that. When you do a PV calculation, it’s better for us than a sell but obviously, there is some volatility because it depends on performance. In China, we’re looking at experimenting in a couple of instances and they would be with Anthony’s that are not headquartered in China. So the contract wouldn’t be in China or governed by China were also. Just to give you a theoretical example. There was an Hong Kong company doing business in China. They put up the cost of good sold. We wouldn’t have any financial risk. And they signed the contract in Hong Kong. We get a percentage of the box-office and if it didn’t work out on some basis, we have remedy in Hong Kong not in the PRC. And that’s a kind of thing we are looking at.
Martin Pyykkonen – Janco Partners: So basically places where you better trust the numbers.
Rich Gelfond: Well, not only the numbers but the rule of ours is more predictable.
Martin Pyykkonen – Janco Partners: Yeah. Okay. Last question is just on the portable. You mentioned testing in back half, are you still looking at a initial one in China in the fall, September, October or is it more?
Rich Gelfond: I think probably later than that.
Martin Pyykkonen – Janco Partners: Okay. Okay. Thanks.
Operator: Thank you. Your next question comes from Jeff Blaeser of Morgan Joseph. Please go ahead.
Jeff Blaeser – Morgan Joseph: Good morning. Thanks for taking my question. On the sale lease guidance, is that all from backlog or is that anticipated signings built into that as well?
Rich Gelfond: It’s all from backlog and does not include any digital upgrades.
Jeff Blaeser – Morgan Joseph: Correct. Okay. So the potential of the signings comes through that could be added to the institutions.
Rich Gelfond: Yes.
Jeff Blaeser – Morgan Joseph: Are there any particular criteria that moves one to the front of the line versus back, obviously the size of the customer I would imagine but anything strategic?
Rich Gelfond: It could be strategic – based, is in a JV. What’s the particular territory? Is there a special event, is there a reason but I think in general, no. But there could be. Hey, Jeff, I apologize, but we still have about a half a dozen people on the queue and we are running late and so if I could asked everybody just to ask one question. We don’t want to miss anybody. But by the same token I know everybody has to get back to their desk.
Jeff Blaeser – Morgan Joseph: No problem. I will jump off and bug you later. Thank you.
Rich Gelfond: Thank you.
Operator: Thank you. Your next question comes from Mark Argento of Craig-Hallum Capital. Please go ahead.
Mark Argento – Craig-Hallum Capital: Good morning, guys.
Rich Gelfond: Hi, Mark.
Heather Anthony: Hi, Mark.
Mark Argento of Craig-Hallum Capital: Just a quick question. Can you quantify for us the impact of the MC deal in the quarter in terms of – I believe it was retroactive, just wanted to get a better feel for what that look like in terms of the impact to the quarter and then just quickly, international screens. Can you just explain to me or explain to us how each theater internationally, how they go to the process if they decide to put a movie on the screen or not because I know you have a lot larger footprint of internationals screens versus what we are seeing, some of these movies been put on meaning, traditionally, you got 7 or 8 screens out there and we are seeing 30 or 40 that they are showing the movies at any given time. Could you just kind of talk about what those screens are doing when they are not showing, run your movies in a period?
Rich Gelfond: Sure. And Mark, I’m going to do this in short hands just because of the time. We’ll give you more color later if you like. In terms of the international screens, the deals work very much very much the same way they do in the U.S. The exhibitors are required to play if it’s in IMAX DMR, so what you are seeing this year is because of the World Cup, a lot of the film, a lot of the exhibitors didn’t play films during that period and the studios didn’t release them. So a lot of the films that play domestically on day and date, they’re playing delays. I will give one example. Toy Story 3 have just opening internationally and they are about $500,000 this weekend which is very nice, because it’s just wasn’t release then because of the World Cup. So this year is a little funky. Generally, it’s closer to day and date of its release but the same shows are playing. On AMC which is actually a very long answer, I’m going to give you a short one. We are not going to disclose this specific terms because they are confidential. In turn to put a question, though, the answer is well, we did with the AMC as you know we both modeled it out on a certain basis and we made some of those models public at the time. The audio hour was so strong for IMAX. As you know they were in a 16-ish range, we had DMR film going on there. We basically got in a discussion with AMC where they said, hey guys, if you want us to more theaters and you want us to extend the little term of the theaters, this needs to be more of a win-win. And I think our philosophy was that the value to us of extending the deal and the value to us of getting more theaters was quite significant. So we decided to make those changes, are not unemployed and component of it, was also because AMC was such a large customer. They had a clause in their deal, most favored nation clause which meant that wherever we did a deal in the world, if it was better than the AMC deal we had to change the AMC deal to that deal. And that put a lot of handcuffs on us because obviously, in territories like India where the ticket price is lower, where Japan where the ticket price is higher, it really limited our flexibility and structuring. And I think one of the reasons you’ve seen so many international signings is that we got better MFN internationally cleaned up as part of the deal also. So I think when you put all those pieces together, it was, you’re much an IMAX’s interest as well as AMC’s interest to do that.
Mark Argento of Craig-Hallum Capital: Great. Thanks for the color.
Operator: Thank you. Your next question comes from Jim Goss of Barrington Research. Please go ahead.
Jim Goss – Barrington Research: Thanks. I have a question about the screening windows for each film. As you get more product, are you narrowing the number of weeks that you’re allocating to each film? And how do you go through that process and then I suppose you have the Avatar example which works against doing so and you’ve commentary to capture it so. Can you just talk about that issue a little bit?
Rich Gelfond: Sure. Jim. It very much depends on the film and the filmmaker and the time of year. So if you look at, right now we are running Inception and we are running it for six weeks at a very good time of year. And I think, given, the lags we’ve seen that was the right decision. For Avatar, we ran over it January. It wasn’t that crowded period. We obviously had a lot of faith in Jim Cameron and the movie, which was obviously recreated in space by box. So the windows in general are shortening. We have to try and accommodate as many clients as we can, as many filmmakers as we can, royalties are being part of it with us in terms of who’s work with us, before both on the studio side and in the filmmaker side. But I would say, with that as a general rule, depending on the film and the filmmaker, we just have to be flexible and you can’t really look at in a formulate way.
Jim Goss – Barrington Research: Are you going to communicate windows a little bit upfront to audiences to create some sense of urgency to command before the film has gone?
Rich Gelfond: Well, we did do a play day release which is when it opens and when it closes. In IMAX and I think people have been aware of it. I mean maybe we need to do a better job of that, but we have tried to do that.
Jim Goss – Barrington Research: Okay. Thanks.
Rich Gelfond: Okay. Thank you.
Operator: Thank you. Your next question comes from Steven Frankel of Brigantine. Please go ahead.
Steven Frankel – Brigantine: Good morning. Just quickly, we’ve heard a lot about signings in China and Russia but not a lot about the European continent. Could you give us an update on what your prospects look like there?
Rich Gelfond: I think they look very good and we just announced two days ago, in Russia which is part of Europe, 10 to 14 theater deal, we announced I think one or two deals with ODEON. This year we announced the joint venture in France with Gaumont Pathe, for four theaters late last year. We did the Netherlands. There is a lot of activity and perhaps equally importantly the theaters are doing quite well. The once in France just open for Inception and EuroPalace which is the owner was quite pleased with the results. They were good. In Holland, they were extremely good. So there is a lot of activity. I think we’ll see activity out of it.
Steven Frankel – Brigantine: Great. Thank you.
Operator: Thank you. Your next question comes from Gary Schnierow of [79 Street Capital]. Please go ahead.
Gary Schnierow – 79 Street Capital: Hi, guys.
Rich Gelfond: Hi.
Gary Schnierow – 79 Street Capital: Your backlog should be about a 124 springs by the end of 2010, give or take. How much of that is 2011, how much of that is beyond?
Rich Gelfond: I don’t think you should assume that number, Gary, because I think what you are doing is you are taking the current backlog and subtracting our install guidance. I don’t think we’ve signed our last deal for the year, given the level of business activity. I can’t predict what it’s going to be but I don’t think. That’s the right number and I think, when Joe gave you the install guidance that was our best guess as to what we are going to be able to install in 2011. As he said, things can slip. Life is imperfect but we try to do our bottoms up estimate and that’s what it is.
Gary Schnierow – 79 Street Capital: I completely understand that. I guess my question is looking out, some of its for 2010, some of its for 2011, some of its 2012. I was just hoping for a little bit of bulk part segmentation after you install 2010. Is 80% of it supposed to be for about 2011?
Rich Gelfond: Gary. We’ve given an indication of 2011. I think there are just too many variables to go any further than that at this point.
Gary Schnierow – 79 Street Capital: Okay. Thanks.
Operator: Your next question comes from Eric Wold of Merriman. Please go ahead.
Eric Wold – Merriman: Thanks. Good morning. Question for Rich, let me get your thoughts on the current kind of pricing environment, it was all back and forth with ticket prices for the various tiers and your premium product versus non premium 3D and all that. Giving thoughts on where IMAX pricing is, 2D versus 3D, where do you think it could go from here?
Rich Gelfond: Really good question, Eric. I mean typically now, we’ve been actually we just started. But we tried to rather than rely on the popular headlines or people’s guesses. We’ve been doing both quantitative and qualitative research and it’s really early in the game. But the typical IMAX price are adult -- 3D price about 30% higher than the 2D price. Well, we look at it and we do our holding and we look at our empirical data. We really don’t think there’s a lot of price resistance at that point. You look at – certainly Inception is also – Toy Story results, they supported that. You can obviously point to The Shrek, which wasn’t as good an example, what happened there. When you look at the kid’s prices and the price premium versus 2D is much higher on the kid’s prices than it is in the adult prices and in some cases it was 50 or 60%. So I think what you are seeing is for the family films, the price if affecting a family of fours ability to go to the movies with that amount of money and I think it may be having an effect. For the adult prices, I don’ think it is and I think that will play a factor for us going forward and what our film selection is and as a reminder, we don’t set prices, it’s set by the individual chains. I hope to make them aware of some of this and you will see they’ll react to it. But frankly I was somewhat surprised and I lie if I didn’t say. I’m pleasantly surprised by looking at the qualitative data which, again, I have to say is limited so far, but the price doesn’t really seem to be a factor for adults.
Eric Wold – Merriman: Perfect. Thank you.
Rich Gelfond: Thank you.
Operator: Thank you. The next question comes from Michael Kass of BlueMountain Capital. Please go ahead.
Michael Kass – BlueMountain Capital: Hi. Thanks a lot for taking my call and congratulations on the results. I was looking at the peach five for the supplemental and I’m just trying to – when I look at the kind of the DMR fees estimates or the EBITDA impact. It looks as though you are getting about, based on the $1.3 million average that you were talking about. The 12.5% DMR fees like the 93% margins. And I’m just wondering if kind of going forward, I understand that’s kind have been a historical rate if you are seeing any kind of positive or negative kind of movement in deamorhpis, or the cost associated with them, whether that’s print fees or just the cost of conversion?
Rich Gelfond: Michael, first of all we are using 1.2 on the model.
Michael Kass – BlueMountain Capital: You are. Sounds good.
Rich Gelfond: Something we used. No we are not. And in fact our DMR deals were signing with the studios are consistent in everyway with our prior deals, so there really hasn’t been erosion. On the cost side it’s highly sensitive to the length of the movie, 2D, 3D mixed. Things like that obviously, 3D costs more than 2D. Longer cost more than shorter. But if anything, costs are stabilized or come down slightly, as we get more experience doing this. It really hasn’t been material.
Michael Kass – BlueMountain Capital: Okay. And then just quickly, I know that there are lot of questions in queue. On the windows, you mentioned that you have eight signing for 2011, double what you’ve had for this year, last year and I’m just wondering what you think the optimum number is in terms of forward signings? You mentioned that – you picked kind of 19 number one hits in a row and I’m wondering what the tradeoff is between signing ahead of time versus waiting to see what has buzz?
Rich Gelfond: I think the optimum number is about what we’re doing this year and last year which is in a fiftenish year. I think one other difficult questions is a lot of people want to put their films in IMAX. And there is a lot of people who want to please. So there is tradeoff between giving a film and up to anytime in those brand exposure and accommodating everyone. So I think that’s a tough task. It’s a high class problem but it’s a tough task for us. In terms of doing in advance or doing it closer to the play date, I think in ideal world you want to do within a year when the film is going to be release because you know who the director is, who the cast is, you have a lot of certainty as to the release date. But on the other hand when you talk about kind of franchise properties like Harry Potter or Pirates, Toy Story and those kinds of things, I think as you go to a franchise property you get more comfortable committing further out. I’m just gong to say maybe one or two more questions. I don’t know if there are any more, but probably everybody has got to get on with their day.
Operator: Thank you. There are no further questions at this time.
Rich Gelfond: Okay. I’d just like to say that as a company, I have to say morale at IMAX is extremely high. I think when we look at our metrics for future growth and what makes the business work it’s really our relationships with our three key constituencies. The studios, the exhibitors and our customers at the box-office and I think that they are witnessing which is not only anecdotal but empirical is that our customers are three key constituencies are happy with the direction we are going and we are trying to capitalize that. I think we are building a good base for long-term growth. With that, thank you all.
Operator: Ladies and gentlemen, this does conclude the conference call for today. You may now disconnect your line and have a great day.